Operator: Greetings. Welcome to the Vera Bradley First Quarter Fiscal 2025 Earnings Conference Call. At this time, all participants will be in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note that this conference is being recorded. At this time, I'll now turn the conference over to Mark Dely, Chief Administrative Officer. Mr. Dely, you may begin.
Mark Dely: Good morning and welcome everyone. We'd like to thank you for joining us for today's call. Some of the statements made during our prepared remarks in response to your questions may constitute forward-looking statements made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from those that we expect. Please refer to today's press release in the company's most recent Form 10-K filed with the SEC for discussion of known risks and uncertainties. Investors should not assume that the statements made during the call will remain operative at a later time. We undertake no obligation to update any information discussed on today's call. I will now turn the call over to Vera Bradley, CEO, Jackie Ardrey. Jackie?
Jackie Ardrey: Thank you, Mark. Good morning, everyone, and thank you for joining us on today's call. We have a lot to discuss today about the upcoming rollout of project restoration, but let me begin by making a few comments on the first quarter. Overall, our first quarter performance reflected the continuation of a number of trends from last year. Many of these were driven by the same economic challenges that several other specialty retailers have noted in their earnings releases. We are also in a transitionary phase with the upcoming July public facing rollout of Project Restoration, which includes the introduction of new Vera Bradley product assortments late in the second quarter. Not surprisingly, our first quarter performance was a bit choppy. I'd like to note that we expected much of this turbulence and that our guidance for this year, which Michael will discuss later in the call, is unchanged. I'm especially proud of the entire Vera Bradley organization for running the ongoing business while simultaneously taking on the extraordinary amount of effort necessary to enter the launch phase of Project Restoration. While we have been working on this for well over a year, many pieces are now going into motion as we make this long anticipated transition. We are very excited. In our first quarter, Vera Bradley direct revenues fell 4%, primarily related to continued traffic challenges in our outlet channel. We are seeing the impact of reduced visits and spending across all household incomes and channels, but especially in the under $75,000 households where we have high penetration on our outlets. Full line store and e-commerce revenues were down modestly, boosted by the shift of our annual outlet sale in Fort Wayne to the first quarter this year from the second quarter last year, as well as our recently launched online outlet store, which has been successful driving revenue and new customer acquisition. Customers responded to several of our latest product collaborations and to our newer but limited quantity product offerings like leather and beaded bags. Overall, however, consumers continue to be more discriminating with their discretionary spending in light of the macroeconomic environment. On the Vera Bradley Indirect side, revenues fell 25% as our wholesale partners were cautious with inventory buys as they awaited our new launch products in the second quarter and as a large off-price order shifted into the second quarter this year from the first quarter last year. Pura Vida year over year first quarter sales declined 37%, an expected continuation of prior quarter trends primarily related to decreases in e-commerce and wholesale revenues. As anticipated, focus on marketing efficiency and a reduced marketing spend amidst a substantially higher cost environment decreased e-commerce performance. As a result, Pura Vida continues to focus on diversifying our marketing allocations to other channels. Wholesale revenues were also down against a strong performance last year and as our partners were more discriminating in their purchases. The Pura Vida team also continues to diligently manage expenses. We continue to improve our already strong balance sheet, increasing our year-over-year cash position while continuing to strategically reduce our inventory levels. We believe in the value of a strong balance sheet as we support our Project Restoration initiatives while navigating an uncertain economic and retail environment. Now let me turn to Project Restoration. As a reminder, Project Restoration is our strategic plan to drive long-term profitable growth by addressing the consumer, brand, product, and channel components of both of our brands built upon a foundation of strong business discipline, a highly engaged team, a strong balance sheet, and a robust technology platform. Through project restoration, we are driving substantial change in nearly every aspect of the business, and we believe execution will deliver long-term value to our shareholders. Most of our work is focused on our largest brand, Vera Bradley. After more than a year of foundational work on Project Restoration we're very excited about the customer facing changes that we will unveil in mid-July particularly related to our elevated Vera Bradley brand marketing, product, store design, and website. As a result, we expect first half results to continue to be challenging as we prepare for our July launch. We expect Project Restoration to bear the fruits in the second half. Through these turnaround efforts, we're pivoting the organization towards a bright future. At Vera Bradley, we're reintroducing our iconic brand to the market in mid-July. We are carefully coordinating the launch of new and elevated products, updated branding and marketing, renovated stores and modernized in-store displays and our improved web experience. We are seeing several green shoots in the business, like positive response to our new products by the wholesale channel and other partners and our customers' reaction to limited quantity product introductions like leather and beaded bags, which are byproducts of our new design work. For the consumer, we are focusing on restoring brand relevancy, targeting casual and feminine 35 to 54-year-old women who value both fashion and function. Our focus on this age group led us in search of data to understand where and how she shops, and our work on this initiative was informed by consumer research and current perceptions of the brand from both buyers and non-buyers. We are using this data to target new customers and embark on new partnerships, licensing deals, and collaborations to extend our reach. We believe we have the ability to attract new customers while keeping our current fans through product innovations and new marketing campaigns designed to inspire joy and connection. We've created a multi-year customer-filed growth plan with a focus on this core consumer target along with an appropriate level of marketing investment to acquire new customers as we launch new products in our refreshed brand vision in July. For the brand, we are strategically marketing our distinctive and unique position as a feminine fashionable brand that connects with consumers on a deep emotional level. Vera Bradley is a strong brand with strong recognition and we're going to make it even stronger by investing into more strategic marketing initiatives. What I want to emphasize is that we're not changing what's unique and distinctive about the brand that has been beloved by millions of customers for over 40 years. But we're just taking this competitive advantage and creating a new brand expression, making it more modern and appealing. We are taking a very sophisticated approach, fully supported by the customer data platform we invested in a few years ago. Specifically, we are refocusing our marketing efforts and shifting more marketing dollars to increase reach in a more precise way through a comprehensive plan with the right media mix. Our initiatives will include more creative campaigns, enhanced digital reach, increased public relations, and innovative store efforts to drive interest and gain new customers. We are continuing to shift our focus from channel-specific customer acquisition to a multi-channel perspective for increased media effectiveness. We're very excited about our partnership with a celebrity partner and other influencers that we will announce beginning in July. And our strategy for promotional activity will shift from discounting being the primary story we have to tell to one of a well-orchestrated plan of brand amplification, category-level storytelling featuring key items, targeted customer-level acquisition offers, strategic incentives carefully architected as demand generators, and inventory management initiatives built to move through slow-moving SKUs. For the product, we've elegantly redesigned our product assortment for a more modern customer and her needs while retaining the elements that have classically defined Vera Bradley like our distinctive colors and quilting. We are elevating our colorful feminine heritage, keeping it distinctive, but more trend right and modern through updated prints, colors, styles, and designs. And we will continue to enter into strategic, adjacent lifestyle item introductions that make sense for our customers. Product changes have been drawn carefully after extensive customer data analysis. Updated assortments will feature a sharper category focus. By innovating and expanding within our core products, we are refocusing on items that we are best at, such as bags, including hands-free cross bodies and belt bags, backpacks, travel, and the smaller items that fit inside bags like wallets and pouches that allow her to customize her look and personalize her organization. We will be offering something distinctive and new in the full line accessory space under a clear product architecture of good, better, best. We're committed to increase use of preferred fibers, performance materials, and higher quality softer fabrics and to maintaining our current retail price structure. Our products will feature more modern, relevant silhouettes and designs with a focus on artistry. And we are expanding our solid penetration, which is complementary to our updated prints and patterns. Solids have been outperforming and are expected to generate approximately half of our future sales volume. Leather sales and customer reviews have been strong since our reintroduction of leather last fall, And we're building on the success by expanding our offering of bags, wallets, wristlets, and other accessories. The collection will feature a broadened color palette, which dovetails into our strategy of offering more solids. Leather will have dedicated fixture space in our full line stores. The reception from our wholesale partners who have seen our new products at the Dallas, Atlanta, and New York markets has been positive. We will offer a clearer differentiation between our full line and outlet channels in both product and experience. Our outlet stores and outlet website will get new made for outlet styles, prints and collaborations and we will introduce a collection of faux leather for the outlets this fall. Product collaborations will always be an important part of our brand expression. We continue to see strong response from partnerships with Disney, Hello Kitty, and Peanuts, and those will continue in all channels. We will work with our partners to ensure the products reflect our updated brand aesthetic and product elevation, including the good, better, best product strategies within the collection. For the channel, we are building a balanced multi-channel structure that allows customers to shop when, where, and how they want to shop. We will accelerate our digital-first focus and online reach while maintaining brand-right wholesale relationships and exploring partnerships that will help us acquire new customers. We will implement changes that will more clearly differentiate our full line and outlet assortments and experience. We're focused on optimizing our real estate. Traffic is declining in some locations, but we've made significant inroads on improving store profitability through more streamlined management structure, adjusting our labor models and rent negotiations, which has allowed us to reduce the number of planned store closings and be more opportunistic on new store openings. We see an opportunity to expand our full line store footprint over time, beginning with the addition of three new stores this year. We are also exploring new full line formats with a focus on lifestyle centers. We will update our entire existing full-line store fleet with new branding and improved shopping experience. The stores will be more modern, less cluttered, and easy to shop with new fixturing and lighting allowing the product to shine. Our current year capital budget of $12 million to $14 million is triple last year's spending, and much of this is attributable to our new stores, as well as these remodels. Updates to our full line stores with elevated products, new branding, and an improved shopping experience will also help further differentiate these stores from our outlet stores. On the outlet front, the mass majority -- the vast majority of stores are very profitable. We are focused on ensuring our stores are in high traffic, productive locations, and strategically repositioning those stores that are not. We expect to add approximately six new outlet locations this year, offset by the exit of four to six underperforming stores over the next 12 to 18 months. Delivering growth in our e-commerce channels is a key priority. We will accelerate our digital-first focus, elevate our online presence, and meaningfully enhance the shopping experience through the July relaunch of verabradley.com. We will offer more customer-focused features, storytelling, and personalized experiences. Our online outlet continues to outperform and we will launch new products throughout the year. Maintaining brand-right wholesale relationships are important and we are actively targeting new specialty retailers where we know our customer is shopping. As I noted, existing wholesale partners have already demonstrated their excitement about our new products. At Pura Vida, we are shifting our long-term focus to delivering profitability through cost control and gross margin expansion while balancing the e-commerce business with wholesale partnerships and retail stores. For the consumer, we are sharpening our focus on the 18 to 24-year-olds. Based on our research, we're shifting our marketing strategy to increase appeal to Gen Z. For the brand, we are re-centering our brand ethos on living life to the fullest, sharing real moments, places, and faces in our marketing campaigns. We are continuing to diversify our marketing spend and are making additional efforts to retain customers. We are investing in new tools to improve the e-commerce site experience and conversion and make our promotions more strategic and targeted. We are more analytical, utilizing detailed customer data to target customers and potential customers with a focus on customer acquisition, but especially on repeat purchases and retention. This significantly enhanced customer reporting and increased analytics have made us smarter in analyzing challenges. For the product, we are focusing on delivering unique, fun, playful designs that are affordable and accessible with a dominant emphasis on bracelets and jewelry, as well as other strategic adjacent categories. We will continue to innovate around string bracelets and our other jewelry and accessory categories. One of our most exciting initiatives this year is our expansion of stretch bracelets and anklets, which are a growing trend. And we will be adding a DIY bead box to our assortment. Our custom jewelry, from our Harper Charm bar to engravable items to our newly launched personalization continues to be a big growth opportunity. As always, we will pursue high profile collaborations like Hello Kitty, Shark Week, and Harry Potter, which are fan favorites and bring new customers to the brand. For the channel, we continue to have a strong focus on restoring profitable e-commerce growth as well as strategic growth of wholesale. Additionally, our success in retail stores has driven us to find new store locations. We opened a new Pura Vida store in Destin, Florida, in May and expect to open an additional location later this year. Now let me turn the call over to CFO, Michael Schwindle to review the financial results. Michael?
Michael Schwindle: Thank you, Jackie. Good morning, everyone, and thank you for joining us. We will open up for questions in a few minutes, but I'd first like to cover a few highlights for the quarter and briefly update our guidance for the year. For the sake of clarity, the numbers I am discussing today are all non-GAAP numbers and exclude the charges outlined in today's press release. A complete detail of items excluded from the non-GAAP numbers, as well as a reconciliation of GAAP to non-GAAP numbers can be found in that release. For the first quarter, our consolidated revenues totaled $80.6 million compared to $94.4 million in the prior year first quarter. First quarter net loss totaled $6.5 million, or $0.21 per share, compared to a net loss of $2.6 million, or $0.09 per share last year. Current year first quarter Vera Bradley direct segment revenues totaled $56.4 million, a 4% decrease from $58.9 million in the prior year first quarter. As Jackie noted a few minutes ago, we have continued to experience trends that began last year, although our direct segment revenue performance sequentially improved quarter-over-quarter. Comparable sales declined 9.6%, primarily driven by weakness in the outlet channel. Total revenues were also impacted by six previous full line store closures over the last 12 months. We look forward to the future reversal of our sales trends as we roll out Project Restoration late in the second quarter. Vera Bradley Indirect segment revenues totaled $11.5 million, a 25% decrease from $15.4 million in the prior year first quarter. The decrease was primarily related to lower sales from certain specialty partners and key accounts as well as the timing of a large off-price order shifting to the second quarter this year from the first quarter last year. As Jackie noted earlier in her comments, our indirect partners are awaiting the new launch products and our wholesale partner response to the new Project Restoration assortment is strong. Pura Vida segment revenues totaled $12.7 million, a 37% decrease from $20.1 million in the prior year first quarter, primarily due to declines in e-commerce and wholesale revenues. I remind everyone that our key focus with Pura Vida has been and continues to be managing the business for long-term profitability and not merely revenue growth. In an environment of rapidly rising digital marketing costs, the Pura Vida team is focused on marketing efficiency as well as digital marketing diversification. Non-GAAP first quarter gross margin totaled $42.7 million or 53% of net revenues compared to $51.7 million or 54.8% of net revenues in the prior year. The current year rate was negatively impacted by the shift of our annual outlet sale to the first quarter from the second quarter last year which was partially offset by lower shipping and freight costs. Non-GAAP SG&A expense totaled $52.4 million or 65% of net revenues compared to $55.6 million or 58.9% of net revenues for the prior year first quarter. Current quarter expenses were lower than the prior year, primarily due to the cost reduction initiatives and a reduction in variable related expenses, including marketing, related to lower sales volumes. Our teams are increasingly diligent and attentive to cost management. First quarter non-GAAP consolidated operating loss therefore totaled $9.3 million or 11.5% of net revenues compared to an operating loss of $3.5 million or 3.7% of net revenues in the prior year. Now turning to the balance sheet, our quarter-end cash and cash equivalents totaled $55.2 million compared to $25.3 million at the end of last year's first quarter. We continued to have no borrowings on our $75 million ABL facility at quarter-end. Total quarter-end inventory was $125.2 million, down 12% from $142.7 million at the end of last year's first quarter. We continue to take strategic actions to reduce our inventory levels, and we believe we are appropriately positioned as we prepare for our new product launch in July. During the first quarter, we also repurchased approximately $6.3 million of common stock, which equates to approximately 1 million shares at an average price of $6.62. We have approximately $19 million remaining on our $50 million repurchase authorization and that authorization expires in December of 2024. So, now moving on to our guidance for fiscal 2025. As a reminder, all forward-looking guidance numbers are on an non-GAAP basis. As we discussed in our last earnings call, we expect fiscal 2025 to be very much a tale of two halves. We continue to operate in a turbulent environment as a number of other retailers have already noted in their earnings releases. Fiscal 2025 for Vera Bradley is also a rebuilding year for the company and as Project Restoration enters its customer facing phase midyear. As Jackie noted at the beginning of this call, we expected much of this turbulence. We expect to continue to experience some revenue challenges in the second quarter, all of by improving sales and profitability trends in the second half of the fiscal year. We also continue to diligently take advantage of both gross margin and expense structure improvement opportunities. As a result, we are reconfirming our guidance for fiscal 2025 based on current and expected macroeconomic trends as well as the rollout of the customer facing phase of Project Restoration. As a point of context, please also keep in mind that the current year represents a 52-week year while the prior year was comprised of 53 weeks. Specifically, for our guidance for the full year of fiscal 2025, we expect consolidated net revenues of $460 million to $480 million. As a reminder, net revenues in fiscal 2024 were $470.8 million or $464.8 million on a 52-week basis. We expect Vera Bradley brand sales to grow by the low single-digits for the year with accelerating sales in the second half as we launch our new products, branding and marketing. We anticipate Pura Vida brand sales will decline in the mid-teen range as we continue to manage the business for profitability by addressing marketing inefficiencies impacting e-commerce sales, partially offset by increased retail sales. We also expect consolidated gross margin of 54% to 55% compared to 54.5% in fiscal 2024. The fiscal 2025 gross margin is expected to be relatively flat to last year due to product margin improvements and a lower supply chain cost offset by increased shipping costs. Consolidated SG&A expense is expected to range from $229 million to $239 million compared to $234.7 million in fiscal 2024. Year-over-year SG&A expenses are expected to be relatively flat to last year related to incremental marketing investment intended to drive sales and accelerate customer file growth offset by company-wide expense reductions and lower peer review expenses. This results in anticipated consolidated operating income of $21 million to $24.5 million compared to $22.6 million in fiscal 2024, along with diluted earnings per share of $0.54 to $0.62 compared to $0.55 last year or $0.54 on a 52-week basis. As a result, our net cash flow is anticipated to be approximately $10 million compared to $44.2 million in fiscal 2024. And we also expect, as Jackie noted earlier, net capital spending of approximately $12 million to $14 million compared to $3.8 million last year. This spend reflects investments associated with new and remodeled stores, as well as technology and logistics enhancements. So that concludes our formal remarks. Rob, can you please open up their line for questions?
Operator: [Operator Instructions] And our first question today is from the line of Daniel Harriman with the Sidoti & Company. Please proceed with your questions.
Daniel Harriman: Good morning, Jackie. Good morning, Michael. Thank you for the details.
Michael Schwindle: Good morning.
Daniel Harriman: I've just got a couple of questions that I'm going to try to combine if that's okay. But given the weakness you're currently experiencing both from a macro perspective and also the timing of the initiatives and the headwinds that those bring, could you just, I guess, give us your level of confidence and how strong of a back half you are going to have. And then with one first quarter sales and the weakness that you expect in the second quarter, obviously it looks like you're expecting a year-over-year increase in the back half of the year. Do you see any opportunity for additional upside to what you've already guided and then along those lines, what are the key risks that you see in the second half of the year?
Jackie Ardrey: Thanks for your question. So I'll start and then I'll let Michael take anything I've missed in my answer. But, so again, we certainly expected some of this weakness in this quarter. When you have the completeness of a transformation in Vera Bradley with product like we're doing next month, it's normal for wholesale partners to wind down their purchases in the old product and wait for the new. So we're not concerned about what's happened here, and we know that there's periods of -- it really is kind of a month to month and a week to week story where our ears are certainly to the ground listening to our indirect partners and hearing what's going on in the stores. But we see that we certainly have orders booked and we're very optimistic about what's going to happen in the back half of the year. What we don't know, of course, is just consumer response. We've done everything we possibly can do, with the data that we have and the outside research that we've done, to match what we think our consumers want and the customers that we don't have to target them and create a very strong and compelling marketing plan to deliver the growth that we expect to see in the back half. What we don't know, of course, is just the macroeconomic trends. We've certainly seen this quarter, as I mentioned, the real difference in our level of visits from our households that are under $75,000, which disproportionately affected the outlet business. So we're hoping that we start to see some more optimism in the consumer, but we think we're positioned in every possible way that we can be further back half to present something that's very compelling.
Michael Schwindle: Yeah, I’d add a couple of additional finer points to this. I think if you look at the year-over-year for the first quarter, obviously a big drag on this was the Pura Vida side. We've talked about for a couple quarters now, this is very intentional. It's very deliberate. This is about positioning that brand for long-term profitability and as such, was very much anticipated. That was not a surprise for us. I think on the wholesale side, on the Vera Bradley side, there is a bit of a choppiness there and a great deal of that is we're starting to get visibility to the oncoming book of new product, we'll call it product restoration assortments. Our visibility to that gives us a lot of confidence that we're looking at a large amount of timing distortion that we'll start to see that pick up in the back half of the year. We'll see some of it pick up, I think, in the second quarter, but mostly the back half consistent with what we've said, is kind of this tale of two halves. To your question, that leaves the rest of it is varying degrees of lesser challenges, but certainly not to minimize, it has been a challenging traffic environment, in particular in the outlet arena. And that's also, by the way, that's also consistent with things that we have heard from some of our landlords as well about the nature of traffic that's going into outlets and frequent, the number of store visits as well as to all times. So I think the final point on this is by virtue of us reaffirming our guidance, a great deal of this was expected. We were expecting the first half to be choppy. We were expecting a degree of macroeconomic challenges. We do see some upside in the business in the back half of the year. In terms of your questions on the relative risk and opportunity, I'd say we're trying to strike a somewhat conservative stance, which would imply there's upside, but there's always risk as well. So I'm not going to say there's no risk, and I'm not going to say there's no opportunity either.
Daniel Harriman: Okay, I really appreciate it, Jackie and Michael, and best of luck with the rollout next month and the last three quarters of your fiscal year. I really appreciate it.
Jackie Ardrey: Thank you.
Michael Schwindle: Thank you, Dan.
Operator: Our next question is from the line of Eric Beder with SCC Research. Please proceed with your questions.
Eric Beder: Good morning. Thank you for the details on Project Restoration.
Michael Schwindle: Thank you.
Jackie Ardrey: Thanks, Eric.
Eric Beder: Good morning. When you look at kind of, it's really exciting to see you decide to start growing the store base on both sides. What kind of led you to decide that, and how do you think about the stores versus online as growth drivers going forward?
Jackie Ardrey: I love that question, Eric. So the store base, especially just, this is a, I believe the first time we've talked a little bit more in detail about the full line stores and the fact that we really want to stop closing them. So what I think has been very influential in that decision is really determining how we can make these stores more profitable. So, and we've done an amazing job outlining just the ways in which we are going to continue and have already addressed the profitability in those stores. So as we are ramping up and planning to continue or to begin driving revenue growth, we want to get that expense structure in line in those stores so that we're ready for a really nice result when the sales do come through. So it was really about evaluating the profitability and looking at our labor models and rent renegotiations and determining really where we needed to be, which malls, which locations, and we're still working on that with a pretty fine detail to ensure that we can grow this store fleet again. As it comes to online, I think about online in obviously two different ways. Our vb.com business, which will have a pretty significant reset next month with all new tools, capability, creative, it's really, it'll really be a great relaunch. And then our always on VBOO site. So that launched at the end of last year and has really exceeded our expectations in terms of revenue and new customer growth. So we really see that in two pieces and both of those sites having a different job for the consumer and different assortments where perhaps they're a little bit too similar now. We'll definitely see with Project Restoration an elevation in the vb.com assortment and kind of a continuation of our existing product assortment on the outlet site. So overall, if you take those things together, we're expecting growth in e-commerce. We've mentioned several times that we're digital first. That's really reinforced here in the company. We're doing a lot to really look at what should our online assortments look like versus our store assortments. What does the customer want? How can we market to her? So there's a lot of work being done, and we'll begin to roll out next month when we see the launch of Project Restoration.
Eric Beder: Great. And let's talk a little bit about the split between full price and outlets in some of the pieces here. So you mentioned leather. I know leather’s done really well for full price stores. So how are you going to take that to the outlet stores and offer, I guess, compelling value at leather at the same time? And I want to clarify something. You talked about collaborations being in both the full price and the outlets and historically that hasn't happened at the same time. Is that a change in thought process that you'd want to have some of the collaborations at the same time in the outlet stores that are in the main line stores?
Jackie Ardrey: Yeah, very insightful question. Thanks, Eric. So, we will have product collaborations in both channels, perhaps not at the same time. So, you won't necessarily see, or you may or may not see, I should say, a specific property in both the outlet and the full line assortment at the same time. But -- so we're really strategically looking at what, just our customer base and who's shopping where and where do those properties make the most sense and what's the timing of those launches. And the size of them, like everything's being really looked at. How do we have differentiation in price points, in styling, in look, so that both the outlet customer and the full-line customer can enjoy those properties no matter what price point they're shopping for or look they're shopping for.
Eric Beder: Okay. A question for Michael. Inventory, you've done a great job with the inventories. How are inventories going to shift now that Project Restoration is starting to go into the stores and go live?
Michael Schwindle: Thank you. I appreciate the question as well. We have made a lot of progress on our inventory. I think as we look forward, there's a fairly substantial movement that's literally in front of us right now as we migrate the new assortments into the brand stores, as well as online properties, and start a larger migration of the existing assortments over into the outlet channels and the other value channels. I think as we look at our outlook for inventory through the end of the year, we expect it to be flat to slightly down by the end of the year. That will be inclusive of maybe a little bit of average cost creep as well as this movement that will still have a little bit of hangover. So I do think we'll continue to see structural improvement in our inventory management through the end of the year as well as beyond.
Eric Beder: Great, congrats and we look forward to seeing the stores in July.
Michael Schwindle: Fantastic. Thank you, Eric.
Operator: [Operator Instructions] The next question is from the line of Doug Lane with Water Tower Research. Please proceed with your questions.
Doug Lane: Hi. Good morning, everybody. I want to stay on the channel mix here. You talk in terms of three broad channels, the wholesale, the bricks and mortar retail, and the digital retail. What is the approximate mix of those three as a percent of your business now, and where do you think it will be after Project Restoration is fully implemented?
Michael Schwindle: Our wholesale business runs in the mid-teens to 20%. It obviously shifts a little bit from time to time, from period to period. The digital side of the business runs closer in the quarter, a little bit higher than a quarter of the business in the balances than the retail side. And so, as we look forward, I'm going to articulate this, I think, more in a branded versus value kind of shift is I think the way we're looking at this. Because as we think about the consumer, we're not trying to legislate where the customer wants to purchase Vera Bradley products. Our goal is to be more positioned where the customer is and where the customer would like to see our products and purchase our products. In terms of a value versus branded perspective, we have been a little bit overweighted on the value side for a number of years, we see the opportunity here as a growth opportunity to grow our branded side of our business, branded weight of our business, full line -- the full price side of the business, I should say, and to grow that side of the business. That's where a lot of the work in terms of customer marketing is coming from, the targeting, the product, where we're exposing the new product and how we're exposing the new product. There's a lot of work on the value side as well, but clearly we've spent a great deal of time talking about the branded assortments here. So we see a growth opportunity to get that weight shifted back to heavier on the full line, full price branded side. Jackie, you want to add anything to that?
Jackie Ardrey: I think, Doug, one of the other things that we really feel like we're going to have the ability to do is look at our assortment and determine which channels, which wholesale partners they should actually go into based on our kind of strategic thoughts about those product categories. So leather, for example, has specific distribution points. Obviously, it's in a full line. Part of that's in wholesale. We'll do some faux leather in outlet. But we're thinking about this not only just from a business unit point of view, but also an assortment point of view, so that we can really be strategic about where we're matching the product assortment to the customer we want. So, and I think that that is, that's a thought process that's really going to benefit us and help us to deliver on our goals.
Doug Lane: Okay, that's really good color. Thank you for that. And just shifting gears to capital here, you mentioned the CapEx at $12 million to $14 million, up from just under $4 million last year and even $8 million the year before. So clearly elevated capital spending here. So as I'm looking out, is this a one year thing with Project Restoration or do you expect elevated spending to continue beyond fiscal ‘25?
Jackie Ardrey: So I'll take just the first part of it and then turn it over to Michael. But one of the key points in our research when we started thinking about Project Restoration and deciding what we wanted to do was that our store environments were not always places that our new target customer, this 35 to 54 year old who values both fashion and function, where she really wanted to shop. We really looked at the experience in the store, the amount of merchandise that was in the store, fixturing, all of that. And so we said we really needed to make some changes to the environment of the stores in order to ensure we can capture the new customers that are critical to our plan and our future growth.
Michael Schwindle: Yeah, and I think that's a premise behind a lot of the refreshers remodeling activity that we're doing across many of our stores. Each store is different. Each store has a different story and has a different degree of needs depending on its current state, how long it's been in place, some of the design standards that were -- that have been employed in each store. I'd say, Doug, back to your, the specifics of your question, I would say a great deal of the elevated capital is, I'm not going to say one time, but it is definitely not consistent with trend and other ongoing maintenance kind of capital. We are addressing a lot of the shopping experience in our branded stores and to a lesser degree in our outlets as well. A great deal of that is kind of one-time-ish or not every year in nature, I'll say it that way. We also have some additional capital in there associated with the new stores we've talked about. And then we do have some other maintenance and other kind of ongoing kind of capital. That maintenance ongoing capital every year kind of stuff is, think about that as a sub $5 million a year kind of volume. The rest of this is more specific to either growth or specific issues around Project Restoration.
Doug Lane: Okay, that’s very helpful. Thank you, Michael. And just lastly, it begs the question, what are the uses of free cash flow going forward?
Michael Schwindle: That's a great question. Obviously, this year, our net cash flow for the year will be a lot lower than the last -- most of the last several years. That is Project Restoration related predominantly, as I just said. As we look forward, we are unabashedly conservative on the balance sheet. I think this is something that the company has been very consistent about. We have no intentions of changing that at this juncture, and we believe in the value of conservatism in this regard. As we look forward, there are a number of avenues and opportunities for growth as you look forward. Some of them are more capital consumptive than others. We're not providing guidance on specifically which ones and to what degrees we're going to be pursuing those in future years, But we do see the opportunity for future investment and growth, as Jackie talked earlier. And we do see opportunities for other capital returns at some point in the future.
Jackie Ardrey: And, Doug, just as a reminder, we did -- we bought back a million shares in first quarter and we still have $19.2 million remaining on our $50 million repurchase authorization that runs through the end of the year. So that's another significant place that we're looking at for capital allocation.
Doug Lane: Is there any talk of a dividend here?
Doug Lane: We're not providing any guidance at this time. If and when we make a decision to that with our Board, we'll announce that.
Doug Lane: Okay, fair enough. Good luck this summer with the rollout.
Michael Schwindle: Thank you.
Michael Schwindle: Thank you.
Operator: Thank you. We've reached the end of the question-and-answer session and I'll now turn the call over to Jackie Ardrey for closing remarks.
Jackie Ardrey: Thank you. Our team is dedicated to returning the company to long-term profitable growth and creating value for our shareholders through Project Restoration. We are on track with our initiatives and we're excited about our Vera Bradley brand relaunch in July. We've assembled a talented leadership team who are retail growth and turnaround experts and they have been the foundational support of Project Restoration. I want to thank our entire team for working so diligently and collaboratively over the last year to position us to deliver. Thank you for joining us today and we look forward to sharing our Project Restoration progress with you on our second quarter earnings call on September 11th.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.